Operator: Good day and thank you for standing by. Welcome to Quarter Four 2024 Digi International Inc. Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today. Jamie Loch, Chief Financial Officer. Please go ahead.
Jamie Loch: Thank you. Good day, everyone. It's great to talk to you again, and thanks for joining us today to discuss the earnings results of Digi International. Joining me on today's call is Ron Konezny, our President and CEO. We issued our earnings release after the market closed today. You may obtain a copy of the press release through the financial releases section of our Investor Relations website at digi.com. This afternoon, Ron will provide a comment on our performance, and then we'll take your questions. Some of the statements that we make during this call are considered forward-looking and are subject to significant risks and uncertainties. These statements reflect our expectations about future operating and financial performance and speak only as of today's date. We undertake no obligation to update publicly or revise these forward-looking statements. While we believe the expectations reflected in our forward-looking statements are reasonable, we give no assurance such expectations will be met or that any of our forward-looking statements will prove to be correct. For additional information, please refer to the forward-looking statement section in our earnings release today and the risk factor section of our most recent Form 10-K and subsequent reports on file with the SEC. Finally, certain of the financial information disclosed on this call includes non-GAAP measures. The information required to be disclosed about these measures, including reconciliations to the most comparable GAAP measures, are included in the earnings release. The earnings release is also furnished as an exhibit to Form 8-K that can be accessed through the SEC filing sections of our investor relations website. Now I'll turn the call over to Ron.
Ron Konezny : Thank you, Jamie. Good afternoon everyone. Before we take questions, a few comments on last fiscal year while looking forward to fiscal 2025. Digi is committed to be a leader in the industrial Internet-of-Things market. We believe a significant share of the market, wants a solution provider rather than building a solution to various vendors. Our solution provider approach reduces risk, improves outcomes, allows customers to focus on their core competencies, and accelerates time to value. The single metric demonstrating our relative success is annual recurring revenue or ARR. ARR, consolidated across our product lines, represents our transition from one-time sales to solutions. Increasingly, Digi will forgo one-time transactional sales in favor of multi-year solutions agreement. Over time, this dynamic will dampen overall revenue but increase ARR. As ARR grows, our results will become more consistent, provide greater visibility, and improve our model. You can see this in our fiscal 2024 results. ARR grew 9% year-over-year to reach a record $116 million, which now represents more than 27% of our total revenue. ARR grew in both our products and services business segment, where we complement our award-winning products with solution packages. ARR also grew in our solutions business segment, where we offer turnkey solutions combining product, connectivity, service, and software. ARR increased as we both onboarded new customers and solutions while retaining and extending existing customers with increased value-added to our offerings such as our recently launched Digi 360, offering and achieving SOC 2 Type II compliance. Our strengthening model achieved 60% gross margins for the first-time in the company's history, driven by this solution strategy. A disciplined and scalable organization demonstrated flat operating expenses year-over-year, which resulted in a record adjusted EBITDA margin. We were able to reduce our inventory throughout the year, as supply chain normalized. We restructured our debt facility, which reduced our interest payments. Cash generated from these combined efforts resulted in a net debt to adjusted EBITDA level of less than 1. Turn the page to fiscal 2025. We are experiencing both uncertainty, as well as reasons to be optimistic. Supply chain and inventory levels have normalized, but COVID-induced scars create caution resulting in elongated sales cycles and smaller or frequent order patterns. The industrial economy's health, measured in part by PMI, has been in contraction for quarters, but there is strength in AI, data centers, utilities, and renewables. Nationalism persists with talks of increased tariffs, but Digi has diversified its supply chain to help buffer potential changes. With that macroeconomic backdrop, we take a consistent but pragmatic approach to setting expectations for fiscal 2025. We expect continued growth in ARR with contributions from both business segments. As we move to more solution packages, onetime revenues expected to temper. In addition, we are improving our offering portfolio by retiring legacy product lines that have been in decline such as Rabbit. Combine this result in an expectation of flat revenue, select operating expenses and expense investments required to sustain long-term growth result in flat adjusted EBITDA, and we expect to generate cash and to be net debt free by the end of calendar 2025. We continue to explore potential acquisitions that benefit our customers and are consistent with our focus on ARR and profitable growth. Macroeconomic improvement throughout the fiscal year could improve our outlook. Lastly, Digi remains confident in reaching its five-year targets of $200 million in ARR and $200 million in adjusted EBITDA established last year. In October, we celebrated the 35th anniversary of our listing on NASDAQ. Next year we celebrate our 40th birthday. Digi's story is highlighted by customer focus, resilience, relentless innovation, and continuous improvement. There are a few companies that went public in 1989 exist, let alone remain independent. Omation, 3Com, WorldCom, Symantec, and Cambridge Technology Partners were some of the companies that were public in 1989 and are no longer independent. Over the decades, Digi has adapted to change and that core confidence is vital to success in the ever-changing world. Operator that concludes my remarks and would like to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tommy Moll from Stephens, Inc.
Tommy Moll: Good afternoon and thanks for taking my questions.
Ron Konezny: Hey, good afternoon, Tommy.
Tommy Moll: Ron, you mentioned the dynamic where there's a relationship between reported revenue and recurring revenue. I guess I could call it a trade-off even. And so as you constructed your outlook for fiscal 2025, how much is that in play just looking at the spread in double digit ARR flat rev? Or are there other factors you want to make sure to highlight? You mentioned discontinuing some old product lines could be one. Just help us with that bridge.
Ron Konezny: Yeah, It's really a combination of those factors, Tommy, and I thought you were very keen to pick up on that. There's certainly going to be some product that we're going to end of life. The supply chain is honestly not holding up for some of these components. They're getting much more difficult to source and then we can provide quality products. So that certainly is going to be a stunt. And then there is another piece of it which is also the tradeoff of moving towards recurring revenue. So it's really a combination of the two.
Tommy Moll: And then I think I heard you say the expectation on the balance sheet would be net debt free by the end of the year?
Ron Konezny: Yeah, by the end of the calendar year, yeah.
Tommy Moll: Oh, by the end of calendar year 2025.
Ron Konezny: Correct.
Tommy Moll: Okay. All right, that might change the math a bit. Does that imply relatively -- and a relatively unchanged pace of that quarterly cash flow generation, so you baking in --.
Ron Konezny: Yeah, I think we're going to see another inventory dividend, if you will, that kicks in in FY’25, which you saw that in 2024. Interest payments are now a fraction of what they were a year ago. Those will continue to go down as we pay down debt. And so, yeah, cash inches even closer to EBITDA with those two factors.
Tommy Moll: Okay. Those were the only two I had prepared, so I'll step back in line. Thank you.
Ron Konezny: All right. Thank you, Tommy.
Operator: Thank you. One moment for our next question. Our next question comes from the line of James Fish from Piper Sandler.
Quinton Gabrielli: Hey, guys, this is Quinton. I'm for Jim Fish. Thanks for taking our questions. You know, maybe first of all, it was really good to see both the reiteration of 2028 targets and kind of the implied reacceleration, if you call it that, of ARR for next year. You know, as we think about specifically for that ARR growth next year, what segments or solutions are going to drive that re-acceleration? And then as we think about your visibility relative to that year, you know, is there anything underneath that makes you more confident that you're seeing all of demand drivers for the full year?
Ron Konezny: Yeah, listen, we grew ARR 9% year-over-year in fiscal 2024, so to call out double-digit growth or 10% growth isn't really much of a stretch in my humble opinion. So there is the potential for things to go even better. We do think we'll see contributions as we did in 2024 from both business segments. And that's really good to see in here, right, that you're not overly dependent on one product line, one vertical, one customer. We think that'll play out as well in fiscal 2025.
Quinton Gabrielli: No, that makes a ton of sense. And you know maybe touching on the M&A landscape, you mentioned you're still active in the market. Is there anything to call out in terms of the number or type of companies that you're seeing coming up for sale? Is the landscape improving as we kind of seem to have a little bit more confidence in a improving macro and rates coming down?
Ron Konezny: Yeah, it's a really good question. I think things improved maybe modestly throughout 2024 to date. Interest rates really didn't start coming down until recently, and that's a factor, I think, in people's decisions to market their companies or to hold onto them for maybe better conditions. I think some banks have come out with optimistic points of view that M&A will accelerate going into 2025, maybe a combination of macro interest rates and maybe a different approach from at least the federal government. And so I think there's reason to be optimistic that M&A will increase in 2025 compared to 2024.
Quinton Gabrielli: Got it. And then just last one from us is, as we look at the ARR underneath, we were kind of surprised and pleasantly surprised with kind of outperformance at least relative to our numbers coming from your actual kind of products and services line. Is there anything one-time or specific in driving that upside or was this kind of widespread across that segment? Thank you.
Ron Konezny: No, again, the good news, it was a broad-based contribution. Each of our product lines has a bit of their own journey that they are going about to become the solution provider. But again, really good news that it was broad-based.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Josh Nichols from B. Riley.
Josh Nichols: Yeah, thanks for taking my question. Good to see the record gross margins and thinking out a little bit more. I know you're getting into flat revenue but with ARR of double digits I would expect that there may be some more room for expansion for that gross margin line as we think about 2025. How are you thinking about the gross margins and the ability to move higher from the 60% level given the outlook for the fiscal year and ARR growth?
Ron Konezny: Yeah, it's a good question. ARR is definitely accretive to gross margin. Within product and services, we do have mix that we do pay attention to and there's some products that have better margins than others. But we do think that 60% plus gross margin mark is one we can sustain and it'll be driven in the long run much more by ARR becoming a bigger and bigger component of our overall mix that will outweigh really product mix over time.
Josh Nichols: Yep. And then just looking at the fiscal one queue, I know normally that's a little bit too – [slowly slower] (ph). There's a slight dip in revenues but not very really anything material. Is it just because you're coming off like a relatively lower base or you're seeing change in ordering trends? I'm just curious if you have any insight so far into the fiscal first quarter of what you're seeing, because it usually is a little bit slower.
Ron Konezny: Yeah, it's interesting. We've been not only, of course, looking at our metrics, but then looking at benchmarks. And I think the themes are a little bit consistent. I don't know if, air quotes, the market has bottomed necessarily, but the recovery is unclear. And so we're taking, I think, a pragmatic approach, not needing any help, if you will, to reach our objectives. Continued focus on ARR, of course. But you're right, the last quarter were heavily channel-centric on the product and service side. Channel doesn't like to have much inventory as they enter typically the end of their fiscal year. So it can be -- it's not unusual for the last quarter of the year to be a little bit softer.
Josh Nichols: Yep. Thank you. And then just looking – you touched on it really briefly. I know the company is diverse, by the way, for manufacturing and operations. But given the change we have at the executive branch, I'm just curious, like your thoughts on potential tariffs or how that may impact the business. I know you've gone through this, right, sometime before, but I'm just curious, like, what you've done since then and how you think it may impact the industry overall?
Ron Konezny: Yeah, you know, I'll caveat by, you know, I don't know and I'm not sure who does, but we've been probably the most concerned about China. That has felt like, you know, the highest probability that those tariffs would increase, since the last tariff action, which was then sustained under the current administration. We have diversified out of China. We're not completely out but we're single-digits in terms of our exposure there as a total of our manufacturing and we've got plans to finalize that. I'm probably of the group that's a little skeptical of Mexican tariffs. I think there's a lot at play there. That doesn't mean there might not be some saber rattling, but I think that it feels the least likely and Mexico is a place where we have found safe harbor. We also have moved a lot of manufacturing to different Southeast Asian countries like Vietnam, Thailand, Cambodia as a way to diversify as well. I think lastly, which is sort of, if you will, maybe the most dramatic potential action is this wall of tariffs that's been talked about. And we now have manufacturers with US-based facilities that we can transition a good portion of our manufacturing to the US if the conditions require it. So I think that's an important piece to consider as well, is that you're adding the most value in the geography that has the most optimal tariff structure. So I think we're in a good position. I don't know if anybody's perfect necessarily about it. I think we really strengthened the diversity of our manufacturing footprint to be able to adapt to different potential tariff scenarios.
Josh Nichols: Thanks for that. I'll hop back in the queue.
Operator: [Operator Instructions] At this time I would now like to turn the conference back over to Ron Konezny for closing remarks.
Ron Konezny: Digi offers compelling solutions for complex mission-critical connectivity challenges. We are uniquely qualified as a leader in the industrial IoT market given our long history of offering secure, reliable, and innovative solutions. We plan to attend the Stephens annual investment conference in Nashville next week and would love to connect with investors interested in learning more about Digi. We appreciate you joining Digi's earnings call and for your continued support. Thank you to our customers, distributors, suppliers, and to our exceptional Digi team. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.